Operator: Good day, everyone, and welcome to the Comstock Mining Second Quarter Update Conference. Today’s call is being recorded.At this time, I’d like to turn the call over to Corrado De Gasperis. Please go ahead.
Corrado De Gasperis: Thank you, April, and good morning, everyone. This is Corrado on the line. Welcome to our 2019 second quarter conference call. Last night we filed our second quarter report on Form 10-Q, including our customary quarterly review with Deloitte & Touche.We also released a press release announcing the précised plans for closing the sales with Tonogold most likely with the next three to four weeks and paying down an additional $4 million of debt and bringing our total debt to just about 2.5 million.That all came through an amendment that was signed late last night and we included it in the highlights that we published also this morning in our second quarter press release.I’ll provide a brief summary of the information included in our press release from this morning, including our progress on all of our strategic initiatives. If you don’t have a copy of today’s release, you can find a copy on our website at www.comstockmining.com under news/press releases.Please also let me remind you that in addition to the outlook we may make forward-looking statements on this call. Any statement relating to matters that are not historical facts may constitute forward-looking statements.The statements are based on current expectations and are subject to the same risks and uncertainties that could cause actual results to materially differ. These risks and uncertainties are detailed in our previous reports filed by the company and the SEC and in this morning’s press release. And all forward-looking statements made during this call are subject to the same and other risks that we can’t identify.Let me first start with the financial highlights. Our net costs are down in total 20%, period-over-period versus six months ended June 2019 versus the six months ended June 2018, despite an increase in our strategic activities, especially associated with the Tonogold transaction, the corporate realignment that we nicely graphically depicted in this morning's press release and the new Mercury joint venture and opportunities on fund formation activities and many related opportunities that are [now hampered] because of all those above.The lower quarterly expenses despite the higher strategic and legal activities were driven by lower environmental costs, resulting from accelerated and completed reclamation and the direct benefits being realized by the monthly Tonogold reimbursementsFor dedicating over 100% of our focus on these strategic activities mainly Tono, the Mercury Clean Up remediation initiatives and the ozone and were finally starting to see the fruits of our efforts in these areas. We did have slightly higher net G&A expenses, net this quarter associated with some of the financial accounting and reporting and related assessments that occurred in this quarter but really reflected the Q1 reporting cycle that was delayed and all that is now completely behind us.The governance work was complete, was costly and is already resulted in and will continue to result in improvements most importantly and especially faster and better external reporting in communications going forward, including getting back on track with our new website for dramatically enhanced internal and external communications.That being said, we will now see a meaningful reduction in G&A expenses in Q3, again remember this is on the context of net lower expenses overall, but we’re going to see another meaningful reduction in G&A expenses in Q3 in the second half of the year by hundreds of thousands of dollars in savings.In addition to the increased savings from the Tono transaction that we've mentioned and started realizing effective June 1, so we'll see the first full quarter impact of that results in Q3. We continued to paydown our debt bringing the venture to less than 6.5 million today with Tono paying this week, bringing that number below six to above 5.8, 5.9-ish and then with the closing under the just signed amendment will bring net debt down to $2.5 million within the next month.I'll discuss the Tono transaction more fully next, but let me first say financially that we received $3.1 million in non-refundable cash deposits already this year towards the Lucerne sale. Hence the $2 million in debt reduction so far this year, plus we've also received almost 4 million in non-refundable stock payments towards that same sale, that a third-party valuation specialist just valued at 5 million and you'll see that number recorded right on the face of our balance sheet in the Q that was filed last night.We will also receive another $875,000 in cash in non-refundable deposits in the next few days and almost 600,000 more in stock in this month. That will bring the total value of the stock component of this transaction to almost $6 million and I'm here to tell you that despite the delays and the amendment, this transaction is now most certainly going to close possibly next two weeks, as scheduled by the end August, but certainly in September.We have structured the amendments specifically to close the deal. We will receive over 4 million in cash between now and the closing and receive another 4 million in cash in the next nine months, following the closing, plus we’re still being reimbursed as of June 1 at a rate of over $2 million per annum, as I mentioned earlier.Now our market, clearly doesn't reflect any of this because people just don't seem to believe it's going to close and I understand that but I've taken the position that focusing on closing it is the most important value that we can create and deliver with high certainty and will start marketing that now because we’re just -- our values are too low and the deal is just too close to being closed. There's really nothing much more for us to do.In summary, for Tono, we’ve already received almost 8 million in cash and stock. We will receive -- we will have received over 7.5 million in total cash of the closing. We restructured the deal so that we will receive over 7.5 million in total cash at the closing, which is more than half of the 15 million initial price, which gives them more than half of the ownership in the entity that owns Lucerne Mine.Then they make the rest of the payments and they earn up to a 100%. They've already got the equity lined up to close on that basis and they're getting more and more commitments every week, especially now with gold breaking to 1500 so strongly.We also understand that Tono now in a position to close the transaction without incurring any outside debt, enabled by this amendment and that's a very big plus for all of us. The Tono deal is really incredible win for all of our shareholders and now that it’s going to close, we’re very excited to move on to the other strategic initiatives.You see in the press release that we finished our corporate realignment. That was done during the second quarter and certainly was facilitated by the Tono transaction, because we’re selling the membership interest in Comstock Mining LLC, as you can see in on the graph that entity owns only the Lucerne Mine property.They are now wholly-owned and controlled by that entity and that’s the entity that Tono will ultimately require 100% and at least 50.3% of this closing. The graphic also represent the other assets that we’re holding for sale. Comstock Industrial, which holds our Silver Springs industrial land. Comstock Real Estate, which owns our Ranch and our hotel and then clearly shows how we've repositioned our subsidiaries for growth with Comstock processing representing the platform, the permitted platform with our crushing, milling, leaching and all the infrastructure associated with the mine processing.I just [inaudible] error in that graphic. Comstock Mercury and Mercury Clean Up joint venture comes from Comstock processing and not the platform that will be using and that we've positioned for launching this new venture with Mercury Clean Up.So last month we announced the Mercury Clean Up joint venture. It’s a globally oriented clean technology-based Mercury remediation business for going after Mercury and other high-value, high cash generating precious metal activities based on this realignment and we launched that venture with oral industries for the manufacture and global deployment of these Mercury remediation systems.It’s exceptional, because oral industries has been in the manufacturing of these large-scale mining systems for four decades and their CEO Paul Clift has been and especially strong advocate of Clean Technology and especially around the remediation of Mercury.So he’s created these proprietary mechanical, hydro, electrochemical and oxidation processes, all of the above and integrated through these new spirals, these new centrifuges, organic solution that work within a Mercury reactor that have already shown effectiveness in remediating over 90% of the Mercury from these samples and the soils.And our objective and our designs are structured to get to 99.9%. That’s what we’re going to be piloting here on Comstock and we've applied for four patents, including these highly precise spiral centrifuges, the Mercury reactor and chemical installation for eradicating all these containments.So as we sit here today, we seal that with orals technical expertise in four decades of mining expertise all over the world and with Comstock expertise in putting together one of the most sophisticated enroll box to mercury remediation plan and executing on those plan in 2011, 2012, 2013. As we were going to mining, we put together essentially the highest global competency today in mercury remediation with what pertains to one of the largest most significant issues in the mining industry today.Just two years ago, the UN signed the Minamata accord which 140 nations signed up and are committed to the eradication of mercury in industrial mining and industrial applications around the world. Not surprisingly, a lot of the little surprise.We've been already approached on both domestic and international projects. But we remained very-very focused on getting this Comstock system up and running, starting to see the real results live on the ground, generating some revenue from it. And we're working very-very closely with both the Nevada and U.S. regulators.I think both of you know we have a Nevada based protocol sampling analysis plan already in place and a U.S. EPA approved long-term sampling and remediation plan. That's why we are the preferred address for moving into this new market.Oral has already manufactured the spirals and we're finalizing the delivery schedule for those first unit on-site here very shortly. The initial equipment will be set up as will the rest of it on our fully contained double line pads at American Flat.The full system will not be fully setup until later in the fourth quarter, but we're planning for material movement much sooner where we can stockpile material for processing hopefully now here in the third quarter or early fourth quarter of this year.There literally is in a project and an opportunity that we could be more excited about. Both have proven track record, as I said, in this arena. We believe we already established the highest standard for the technology and we're ready to go out show it to everybody.Let me wrap up with just two more areas, our non-mining sales, as well as the resource. On the non-mining sales, the region continues to boom in a way that's much more significantly than we predicted. Right now, Google has a fleet of construction vehicles literally ripping down a mountain. And in their development in the Tahoe Reno Industrial Center and the community affirmably, which is adjacent to it, just continue to announce 1,000 acre multi-$10 million project.More importantly, all these projects in the industrial center and infirmly are continuing to migrate closer and closer to Silver Springs. It's sort of a manifest destiny the way the USA parkway is laid out and the way the properties are let out. And as everyone knows, we do have agreements for selling our Silver Springs properties for over $10 million. That we're now currently enhancing and we'll have some real news that will follow. The enhancements will get us some more cash, but it will also retain more future value for the Company. It's not done yet, but it's close to being done.We're even in direct dialogue with some potential tenants moving into and adjacent to our property in Silver Springs, which is now quickening. So the value equation is not been realized, but it continues to enhance and continues to solidify. And I know better than anyone on this phone call the frustration and pain that we endure from the delays in monetizing these assets, monetizing the non-mining assets, monetizing Lucerne with Tonogold and how it impacts liquidity, debt reduction plans, speed, predictability and all of the above.But I have to say that we're on the front line of doing this, it's what we're focused on every day, and this will all occur this year. Next month, the month after and the month after that. So we're really-really seeing all these efforts progress.What does it mean? It means Lucerne brings in another $8 million cash, $4 million immediately plus stock. It lowers our expenses and positions us for more profit in the future from that operation. The non-mining assets brings in $10 million, plus a positive retain carry for the future just continuing to layer in future value, but starting to bring it in the door.Mercury brings explosive growth, explosive global growth. I mean, it's one of a few items that we're really excited. But right now it's the most exciting for us.Lastly, and I can't forget the day because my technical staff will kill me if I did that. The Company is now advancing and updating the date and assessment. Larry Martin, specifically, our Chief Geologist has completed his review and has revised detailed structural interpretations of all of the data that we have around the resource data and resource. The old data, the new data, additional data, which provides the framework for new resource modeling.So now, all of that data is being compiled and put into a detailed new structural interpretation. So we've been very quiet outside, but we've been very busy inside pulling all of that together that gives us the foundation for new updated technical resource. It also has identified an exceptional list of drilling targets for us, so the timing for us is very-very good, especially since we just recently won a most favorable and extensive ruling in the Nevada courts on our existing zoning for the Dayton Resource. So we could not be more pleased with that and we really position that asset not only to grow but to move forward.Gold is at 1,500, silver is finally moving. All of its positioned for us now, as we get these transactions completed. We know we have to get them completed. It's the only thing that we're working on and we're almost there.So with that, April, let me stop and just turn to questions, please.
Operator: Thank you. [Operator Instructions] And we'll first hear from David Brigham of Brigham Investments.
David Brigham: Can you clarify in my mind, you still have some mining assets date you referred to, is that correct? I think I read the conclusion of this tunnel transaction, you're going to reinstall your Storey County resources, is that - can you clear that?
Corrado De Gasperis: Let me clear it up. First and foremost, we have a 10 square mile land position. It's literally just under 10,000 acres of public and private land that we own and/or control 100%. The total Tono transaction is selling 1,200 of those almost 10,000 acres. So unequivocally, yes, we still have tremendous amount of land position, number one.Number two, in addition to selling the Tono Lucerne mine, we are entering into an option to lease them the use of the American Flat processing facility. So that's still our asset. It's the primitive platform where we're doing all of this clean technology trials, testing, piloting and production. But that leaves - brings us $1 million per annum plus a dollar per ton, up to $15 million in revenue from Tonogold's mine plan with Lucerne.And then after that, a continued $1 million per annum and $0.50 per ton until we get up to $25 million of revenue. So we still have our mining assets in the platform. It's a great posture for Tonogold, because they have a permitted expedient path to production and it's a great posture for us/We also retain a 1.5% royalty. Now, on the remaining Storey County mineral claims which are north of Lucerne, think of them being in between us and Virginia City including the Occidental Lode and the Gold Hill. Tono is leasing those for a 3% royalty. That's very exciting for us because these are properties we have not been able to invest exploration and development into and Tona will expediently, they already have drill plans to start developing this progress, which create value for us and our shareholders.Everything south of Lucerne, everything south of Lucerne, we retain which is the day in resource which has over $0.5 million gold equivalent ounces in our last technical report for Dayton. And then another 2 miles of continuous strike below -- and all the way to Highway 50 almost to Carson City if you want to think it that way of mineral strike that is referred to as our Spring Valley target area.So for all intensive purposes we’re retaining substantially all of our mining assets we are realizing value for Lucerne. We are keeping future value from Lucerne in the northern targets and retaining all the value of our southern target. While retaining the platform to take these new clean technologies to the market so was that helpful clarifying or confusing hopefully clarifying.
David Brigham: Yeah that's helpful, so you're still a mining company. You're going to be crushing and drilling and leaching someday but you don’t have any firm plans for that?
Corrado De Gasperis: Yeah so let’s go through the list of the three firmest plans right. So first and foremost Tonogold moving Lucerne forward into production enables the revenue stream for us, and a real great utilization of our existing platform. Secondly, they start exploring the northern targets which is value creating for us.Thirdly, we started drilling and developing the Dayton resource and then fourthly and maybe most immediately the mercury pilot will start moving material from our properties on the Comstock to American Flat for processing and what we proved there is not just the ability to remove Mercury which is the absolute priority and goal but the mercury trap gold and silver.And so that is fundamentally killing two birds with one stone, you're going to be cleaning up mercury and removing gold and silver trapped in that mercury in one shot which we believe will be very feasible here on the Comstock. When we look around the world its staggering the amount of countries that you know mercury has been illegal in mining in the United States. So I’m certain since by 1910 I think maybe little earlier.But in Third World nations all over Ghana and Nicaragua you wouldn't believe Turkey, Nigeria I mean you name them they're still using mercury with very, very high grade deposits. It's horrific people are dying because of it its polluting, its contaminating when mercury gets into the soil elemental mercury it doesn't leave. And so some people get a false sense of security that it’s buried in the dirt and it’s not bothering anybody but then it works its way into the biosystem.So it's a very, very incredible opportunity not only to clean up, but do it -- we believe ultimately quite profitably. And doing it profitably is the only way that it’s going to get done. So we're very excited about it.
David Brigham: One more thing, the real estate -- the industrial real estate matter?
Corrado De Gasperis: Yeah.
David Brigham: Is something going to happen there -- before the end of the year do you think?
Corrado De Gasperis: Yeah so we've been watching the development and real estate activity grow. We’ve been watching it migrate towards Silver Spring and let me be specific right. Silver Spring was sort of an orphan child before USA Park was built about year and a half ago. USA Parkway connects with the direct artery into everything that's going on in Northern Nevada.As we sit here today Highway 50 which is all along Silver Spring is the state is expanding to four lanes and making it a major highway. So Silver Spring used to be sitting alongside the loneliest road in America and now it’s in the center of two, four-lane crossroads with more logistics more traffic than you could ever imagine.So this is a when, if not is but I love these properties it’s not a secret. So although we have dreams to sell them and we’re going to we’re trying to structure in a way where we can retain more future value and we’re almost done with that. And once that’s done and I'm talking about like in the next week or so. Then I will be more directly involved in accelerating those transactions.And so, we can expect in my opinion not $10 million but $11 million coming in from those transaction plus some retain value in the future. Because what’s happening here I've never seen before I worked all over the country I lived in Connecticut, New York, Tennessee, Massachusetts, Pennsylvania. I have seen enterprise zones, I have seen economic activity, but I mean we’re witnessing the birth of almost like a second Silicon Valley.It’s every -- yesterday I heard about a industrial company that’s coming here that just maybe fall off my chair because I wasn’t thinking you know I was thinking about -- I was thinking about the Google, and the Amazon. And I wasn’t thinking about I can't say the name, but it’s a name that is much more established and longer standing than some of these recent technology companies. So everybody is coming here it's just unbelievable.And we’ve locked in Comstock obviously has lost in three choice properties the 98 acres is right alongside the airport in Silver Spring right alongside the intersection that I just mentioned. And the 160 acres is literally the center of the downtown. Now the fund that we’re working with isn’t just looking at two wonderfully strategically situated pieces of property those were critical. They’re consolidating almost the whole community and we’re helping them.I don't make it sound like it's a complete unrelated thing we are on the ground everyday helping all come together. So the opportunity zone is a new thing, there is a lot of uncertainty around the -- look around the guidelines and regulations all that’s been clarified. I can't believe how powerful it is in terms of investment capital and the enhancement that will come from it.And it’s perfectly situated for what happening here in Northern Nevada because we’re looking at 10 years of meaningful investments. I mean if nobody else announced that they were coming here. We were just in a builder's forum yesterday for two hours if nobody else could announce that they were coming here we couldn’t keep up with the demand for the next four years. So that's what we're looking at its remarkable.So the land going to sell, it’s going to sell in a way that immediately benefits us. I think everyone understands our net operating losses are hidden assets. So these gains are protected from federal tax and so we get the maximum benefit but then if we can retain some value going forward it’s a double win.
David Brigham: That was exciting?
Corrado De Gasperis: Yeah and I don't want to be too blunt about it, but if you look at our equity market cap it’s just absolutely disconnected from that. And if there's two in my opinion strong reason for that. One is credibility right people want to see the transaction get closed. We totally respect that that why we’re spending 110% of our time nothing other than closing them. Having said you spend 110% of your time on something you can't spend time doing much else.So we haven't been communicating it strongly or marketing is strongly outside of our existing base of investors. Meaning we haven't been going out to new investors in part because up until a few months ago gold was still lower in the equation and these deals were not there wasn’t an absolutely clear path to get to the finish line. Now we have an absolute clear path to get to the finish line.We work very hard on amending the transaction to ensure that and gold is over 1,500 and robust. So I feel great about our story now I can't wait till September to get out tell everybody about it, but it took a lot of fixing on the ground to get to this point. So we understand market share price is not higher, but it's ridiculous right. So it has to get moving these transactions will force the discussion.
Operator: Next we’ll hear from Carl Frankson [ph].
Corrado De Gasperis: Hi Carl.
Unidentified Analyst: Corrado hi, you covered most of the things I wanted to talk about -- so the story can release and whatnot the silver stones. So just a couple quick questions during the quarter I remember last call you said we wouldn't need any more dilution, but you did issue another 10 million shares, why and who bought them?
Corrado De Gasperis: So I think I said and I hope I said, if we can get these transactions closed, so we get 4 million in from Tono now, recently we're hoping get more upfront to get 4 million in from Tono now. We get 10 million maybe 11 million in from the land sales. That’s when the conversation there finally finishes.And we've been not desperately, we’re impatiently trying to bridge to that point. We’re almost there. So one answer is half of those shares were to bring in capital to bridge us to these activities, although some of that money was going to have deposits on land and some of that money was going to MCU for the new investment and the new business. So I’m very happy at least in that regard fully half of those shares 4.5 million were for the MCU investment.If you recall, we’re going to be get 2 million investment over time with 850,000 of that worth of stock, restricted stock that can't be touched for six months going MCU and the value -- if the value of that factor was over a 50. So in other words, if that factor doubled or tripled between now and six months then the exit gets rolled out, it doesn't you know what I mean, it's like we wouldn’t lose the value for that.So we're trying to be very seditious with that. 4.5 million was for a really strategic investment. 4.5 million was for bridging us to getting to this point and getting these transactions closed and we're going to continue to be judicious but until we close these transactions it’s only source of capital to get there.We’re very stable. There's absolutely no risk. There’s no concern regarding our liquidity in our posture. We've always been very diligent, very astute about that. We don't like to issue the shares and we’re going to try to do less of it.Until these two transactions are closed, right because so far all these cash that’s been coming in from Tono has the most grown directly to pay down debt. Good news, our debt is almost gone. Bad news, is we don't get to use that money to avoid the delusion until the debt completely gone. So we’re almost there, we’re almost there.
Unidentified Analyst: And then just quickly, as I mentioned you answered a lot of my question so far. Going forward is being a gold mining company, is it just Dayton, is that it, is it are we now we’re one-trick pony or are there other projects that could be developed after Dayton? And number two, you mentioned 0.5 million ounces at the Dayton, I think that was from a previous…
Corrado De Gasperis: 43101
Unidentified Analyst: Yes, 43101 within your five, six, seven years ago or something and how much you own -- I know you always take a fraction for valuation purposes, how do you evaluate that?
Corrado De Gasperis: So the best way to do it -- so first let me answer your first question. So we have Dayton and we have Spring Valley, so in Dayton and Spring Valley, where we want to be a gold and silver mining company unequivocally. In an MCU we’re going to be mining gold and silver with that mercury and it is premature if you were to ask me that’s going to be the big, biggest business of them all and probably by far. The market is just huge and we have the technology and experience advantage.In Lucerne, we become a gold royalty company. In American Flat, we become a mining service company. We’re providing -- I don't like -- nobody likes to work whole processing is not the right way to use it.Because Tono will be operating absolutely but they’re paying us. Revenue and per tonne to use that facility in addition to the royalty. And then in the northern targets, which I answered your question, let me expand on the answer.If Tono acquired any additional adjacent claims and they are in a very nice conversation right now with the one sort of last remaining minor on the Comstock to pull in and tuck-in on those claims that automatically gets subjected to our royalty in the same way because we gave them the right to do that.So you know from our perspective, we see the global mining industry in a net depletion mode. This is the highest level of our strategic thinking and resources are depleting and reserves are depleting maybe better said, reserves are depleting and resources are not growing, replacement, replenishment is not growing.What is growing is reclamation pads, old leach pads and old Mercury [inaudible] and old paling that no one has paid any attention to. And so to have technology to re-process, re-mine, we think is the growth market.Now we’re not regulating ourselves, we've got the full spectrum covered, expiration development, mining of our own assets, royalties on others and developments on others and so once we turn this corner, I can't wait to be talking in October, we've got no debt, we’ve got cash. We’re not in a dilution or our balance sheet is strong but we’re on the front end of this growth profile.And we’re sitting on a little mountain of net operating loss assets to maximize the cash returns from those endeavors. So that’s the picture. Three hard years to get it back to this point I couldn't be more persistent you know is getting -- we're proud of the people who have stuck with it but now they have to see returns and I think they're going to be meaningful.So we’re trying to be very pedantic. We try not to promote, right. We’re just trying to do it. Get it done and deliver it. But pretty soon you know it'll get away from us. I mean, when this Mercury thing gets recognized by anyone, we’re going to be bombarded.We’re going to be bombarded I mean, Paul [ph] was bombarded that's where you know eight, nine years ago he started doing it because he was being bombarded by all of his international clients. How do we deal with this like we’re destroying our landscapes, we’re destroying our communities and he is up set to work on it and if it wasn't for our Carson River Mercury super fund stewardship.You know, if we didn't really take the lead in creating a Mercury remediation platform in the United States with District 9 EPA at our San Francisco, supporting it, he wouldn’t have found us. And so by him coming to us, we have a very unique partnership here. It’s not going to take long. It’s not going to take long.
Unidentified Analyst: Just along those launch, you had mentioned on, is the patent protection on this and you had mentioned I think you filed for four, five or six, or more.
Corrado De Gasperis: Four, four, so three pieces, three pieces are equipment. I mean, the centrifuges are amazing and by the way the equipment is beautiful. Not that as normally matters in mining but the designs are so elegant, in fact the centrifuges are like turbochargers on a Ferrari, okay then you got these spirals.I mean, in the industry everybody has spirals, everybody. There are things that turn and they sort and filter but we usually get 60%, 65% of Mercury. Paul is getting 90% and he's refined them to get 99.9% was ever seen anything like it, so those designs are being patenteed.There’s a double helix and then there's this whole chemical free organic solution, which is a trade secret, it’s confidential but we’re still thinking that’s the fourth patent to file because it’s important to us, but you know -- so that part of it. The experience and credibility of having cleaned up a Mercury Superfund.I don't think that many people know this but when we mine for three years, we moved 3 million tonnes of ore. We had 176 pound flask for Mercury storage, which was half-full, okay. The natural occurring Mercury from the Comstock very low and the road cracked and we stepped in to fix it for the community.We moved 300,000 tonnes of loose mine dump and fill in the waterway, alongside the underneath the road, that in our opinion a road never should've been built on and we got over 2000 pounds of mercury. So one-tenth of the material, we went from 40 pounds to 2,400 pounds. And then we rebuilt the road. We don't talk about this that much. The road cost us $3 million. The mining excavation, hauling, sorting of all the crap that was in there out, processing, leaching cost us $6 million. We got $9 million of gold and silver out of it.So better lucky than good, right. But when visitors come and ask us, what do you know about environmental remediation, what do you know about reclamation and what do you know about mercury removal? Bing-bing-bing, we're #1 right, in all three categories. We've got plaques on the wall to prove it. That's not why we do it, but I didn't do all that because I saw a huge global opportunity in mercury. I did all that because I thought it was the right thing to do. But, man, we're position to kick some Ass here, Carl.
Unidentified Analyst: What can I say, I mean, it just…
Corrado De Gasperis: It's hard to believe, no one can give us a lot of credit for it until we started announcing contracts. And then people are going to be like holy shit.
Operator: Next we'll hear from Rick Hicks [ph].
Unidentified Analyst: The symmetry extraction technology put in the other products such as arsenic, number one, and then, could you give the detail on your common stock financing, what it costs and how long you think it's going to continue? Because it seems to have a detrimental effect on your shareholders very much to the benefit of those buying the stock.
Corrado De Gasperis: So right now we have a facility. We filed the prospectus for $2.4 million. We've used about $1.2 million of it, so half. We have more capacity than that. But we filed only for $2.4 million. The agreement was for up to $5 million. And it's solely in place to put equity forward with known counterparties through one counter party that we know very well that is an investor.I would say they're intermediate investors, they're not necessarily longer-term term investors. That's not what the structure is designed to do. And we place it at a 10% discount to the then current view at our discretion.So if we need to raise a little bit of capital just to bridge us, then we would place it with them. That's why we're in such a stable liquidity perspective, is we don't have to go out and search for investors. The agreement actually allows us to put it to them based on foremost at a 10% discount. We paid a 5% fee upfront, but the facility is expandable up to $5 million without additional fees.So that's the arrangement. It's very-very simple. I know people think of it in the context of an ATM and there's aspects to it. They're similar but it's really not the same. And so we believe it's safer, it gives us the needed stability.Frankly, we wouldn't have been able to negotiate a lot of the transactions that we did if we didn't have that stability behind us. And so that's it in a nutshell. We will try to minimize of what we do between now and September-October. We see that as the relevant timeframe to getting the rest of these things done.On the mercury, the system is designed in particular with the mercury reactor in particular with the mercury reactor to get all the mercury out. So we know that as we take it through our process, like, for example, in our case, we have a full industrial mercury committed retort over that is the second to the last step before refining and pouring gold and silver. Honestly the efficacy of, let's say, getting copper or getting lead, certainly it would get some of those elements even arsenic, arsenic, lead and mercury being the three relevant one in the site.But I don't know the efficacy. It's designed to get all the mercury and I'm sure it gets a substantial amount of some of the others. But I'd have to follow-up on that. And probably I won't know for sure until we run through the first series of process test with the new equipment. But this equipment has been tested and used already internationally, let's say, the last generation was used and tested in Nicaragua with incredible results, right.So we're taking it positive enhanced design, enhanced engineering and this next last generation of equipment here is going to take it to the finish line.
Operator: Next we'll hear from George Melas of MKH Management.
George Melas: Just back on the mercury processing, try to give a sort of a very basic timeline over the next 12 months and the hurdles along the way?
Corrado De Gasperis: Yes, 12 months is a great timeframe. So we signed the agreement end of June and Paul started manufacturing the spirals. They're complete. He's just putting some finishing touches on it. We met last night for two hours here on the Comstock, he's here in Carson city right now because we're meeting with in-depth this afternoon at 1:30. So we're very live on this.The meeting with in-depth just to confirm, any tweaks or modifications that we might make on our existing platform. The beauty of it is we're fully permitted with a double-lined controlled system. So we'll make some tweaks. We'll need to maybe demonstrate some engineering design changes et cetera. We're also going to prospect though with them on what permitting mobile units in the future would entail.And so we're not only thinking about immediate, but then how does this thing rollout as we prove it on site. The full system is on schedule to be delivered and landed on site by December. And so if we consider some of the specifics of the schedule, it may be prudent to think that that system would start running or operating in January. That means processing material through the system, extracting mercury, basing it, refining it, getting - capturing 100% mercury, getting gold, getting sliver.But we probably and intend, we're planning to start identifying - we've already identified the spots, but to start planning for moving material from those areas up to the mine site in advance of December. I mean, if it was my choice, we've been doing it next month, September, October, November, December. So that once the equipment is landed, we have stockpiles of material that we can start piloting and testing through.Then you would have a series of ramp ups from January. I would say, you know, the full 12 months, but from January to August, January to September, January to October going from running 2 tonnes per hour to 4 tonnes per hour to 8 tonnes per hour, ultimately up to 25 tonnes per hour.Because in Paul's experience, if we prove -- that's considered a pilot scale. But when you get to 25 tonne per hour, you have sufficient operation on sophistical representation. And with his knowledge of his equipment to then prove that as scalable.So in other words, if we prove it right up to 25 tonnes per hour, an important aspect of that is that the regulators are with us every step of the way. Because if the Nevada and U.S. EPAs truly see the efficacy of the solution and understand it, then the stamp is there for us to go anywhere that we want.Now, somewhere along that continuum, when we're certain a 25 tons for our run rate that its effective meaning getting all the mercury effective meaning economically extracting the gold and silver from that mercury. We will commence construction on an optimal size system for the Comstock which were preliminarily scoping at a 100 tons per hour.So a 100 tons for our system, we would literally have two systems one somewhat they are both portable technically okay, but one very mobile, one less mobile and doing up to 125 tons per hour. We run some very, very, very preliminary models at 125 tons per hour with low grade and low yields. And then the cash that it generates monthly is a lot. I can't say what it is yet because they're still too many assumptions in the variable.But we approach this thing very, very conservatively like if we know it can operate already at a certain efficacy, if we know the grades that preexist in those tailings. And if we know the general cost to operate this equipment what does it look like at these parameters. And by the way, one of those parameters that we use was $1,200 gold. So we’re very excited about what this has potentially.We're looking at the Comstock has great 1 to 2 grams per ton and we like this very well in that range, but we know of how bad contaminated areas around the world that have 5, 8, 10 grams per ton. So this equation is and -- there's no shame and there is no concern about talking about the profitability of it, but it doesn't work without to prerequisite we have to be able to get all the mercury and truly clean and it and it has to be economically feasible.And so that's what we're focused on. So I think that to answer your question you will see real movement October, November, December. You will see pictures of real equipment it’s not small you'll see operation right in the New Year. We will be communicating with our regulators and I guess I wouldn’t understand why we wouldn’t be communicating with everyone you know as the results are occurring as long as there is no uncertain.And I think and this part is speculative I think we're going to be visited by a lot of people who desperately need the solution. California has got major issues with this, more than Nevada and their California and subpoenaed compared to some of the countries around the world. So I think the next 12 months we’re going to have a lot of information flowing out to us. Is that helpful.
George Melas: Yeah it’s very helpful, just as a follow-up on that collateral roughly how much is that going to cost you guys to basically over the next 12 or maybe a little bit more 18 months to try to improve that just up to 25 tons per hour?
Corrado De Gasperis: So very specific answer for you, so we’ve committed $2 million in the first phase of which 850,000 with the stock that I mentioned to Carl that we already put forward and is restricted for six months okay. And then we have installment payments we've done about 350,000 so far to get all these equipments started installment payments over the course to get the pilot up and running.We protected that very, very strongly in three ways. One, we have liquidation preference if it’s a total failure and I want to make a very precise point here. This equipment is 100% valid effective and valuable mining equipment. What we're testing is the mercury enhancement right. So if it didn't work which is to me not really a question but like we have to consider the possibility.Then we get the liquidation the 100% and our money back e from the equipment. We have a choice to keep it and use it or liquidated ourselves, even if it does work we have an acceleration of the return to us and our investment. So instead of a 50-50 sharing we get 75% until the 2 million is recaptured okay. And then we have the right of first refusal to arrange capital for the 100 ton unit.The 100 ton unit will only be arranged if the 25-ton unit works and we can fully finance that with equipment financing. For that right for the 2 million protected and accelerated back to us and for the 3 million of equipment financing that we would arrange. We get 25% of mercury clean up LLC and we have the first right of every new business venture of that entity 50-50. So to say in a different way, we get 50% directly in any business activity that generates cash flow.And then we get 25% of the other 50% through MCU and that means 62.5% okay so I suspect our accounts are going to make this consolidated as a subsidiary because of - that level. Now having said that, if MCU which I would be on the Board of this is for Board members if MCU wants to go into a crazy place where they don't like Americans we could say no. And we still get 25% of the profit right, but we would most likely prefer to say yes and do 50-50 venture.Although every transaction if it's in a different jurisdiction could be structured a little bit differently, we’re really positioned with a relatively low capital investment, a high social and experiential value that we bring to the table and their technology to really, really, really do well here for everybody.
George Melas: Okay it will take some time to absorb all that but thanks a lot Corrado.
Corrado De Gasperis: I mean there is little complexity but it's really set forth to be protective.
George Melas: Great okay.
Corrado De Gasperis: Okay.
George Melas: Thank you.
Corrado De Gasperis: Thank you, George.
Operator: Jeff [inaudible]
Corrado De Gasperis: Hi Jeff.
Unidentified Analyst: Corrado for your expanded discussion I have a couple of questions. First, let's start with events subsequent to June 30th if we may. The last bullet point that you have here under your executive summary I selected the highlights I was thrilled to read it, because it implies that you're able to sell the preferred stock for $863 a share. Would you expand on that concept?
Corrado De Gasperis: Yeah so the preferred stock couple of points there. The preferred stock is in addition to what I had explained to Rick earlier just for precise clarification. We sold preferred stock 1,274 shares for $1,000,083 cash net so $191,000 fee associated with that but the 191,000 fee was related to potentially $5 million worth of stock. We decided we didn’t want to do 5 million we just needed to do $1,000,274 and it convertible in the future to comment.So the idea here is we saw ourselves closer to the finish line. We didn’t prefer to be selling stock at these low values we never do and there was a notion that if we could place the preferred stock today. We wouldn't have as much dilution and that you know if we get to the finish line here in a month on these things if and when it did actually convert out it would be at much, much higher values and be much less diluted.So it's preferred but not common but it converts two underlying common and so I am not sure I answered your question, but at least that’s the turning point.
Unidentified Analyst: What I am focusing in Corrado on dilution, can you take that and run with it?
Corrado De Gasperis: Yes, so the first stock converts with a floor or I am sorry, a ceiling of $0.75 per share and a floor of $0.075 per share. Obviously, our hope is that most of the stock would ultimately convert at a much higher price and minimize dilution, so you know there is a range of possibility there that probably range somewhere from 2 million shares to 15 million shares. It ultimately convert to that the highest price of lowest price. It won’t -- most likely timber somewhere in the middle.So we won't know what the ultimate effect of that solution will be until we’re done. Although there is a floor on it. So we thought it was a -- we thought it was a faster, safer way to bring in the capital we needed to bridge ourselves and we will see how it plays out. It’s with a known counterparty you know so we continue to try to do things as stable as possible but the key here is what I said earlier, the only thing that matters is closing the Tono deal and closing the asset sales so we could stop having to do these kinds of things.
Unidentified Analyst: Well, you'd probably agree that cash is king, but I'm still not clear how is a buyer with purchase for $863 a share, the preferred stock?
Corrado De Gasperis: So they purchased it for -- yes, so technically it’s a $1000 a share left to see. We can set the price of the preferred stock you know at any stated value that we wanted to. The real value of that instrument and I guess in my opinion sits in the underlying rate to convert it to a more liquid instruments, which will be our common stock.
Unidentified Analyst: So when this is converted, does this create common shares?
Corrado De Gasperis: Yes, that's what I am trying to say.
Unidentified Analyst: And would those common shares be dilutive?
Corrado De Gasperis: Yes
Unidentified Analyst: Very well. Next question. Are you still working with Itronics?
Corrado De Gasperis: Yes. And so I am glad you asked that question because in so many ways the Mercury technology parallels in concept with the Itronics technology. It's completely different and not overlapping, very important point, it’s completely complementary and additive, very important point but whereas the Mercury takes tailings, the Mercury technology takes tailings and processes and you know, actually be using plaster mining example, because that's similar to what we’re going to be doing here.The equipment is more of like a plaster mining system. It’s not -- the Mercury solution is not restricted to plaster, it could hard rock, it could plaster, so we've got lot of flexibility there. But whereas it cleans up contaminated mercury tailings and soils, our number one joy that comes from the collaboration with Dr. Whitney is that that we processes or at least our objectives together is to reprocess formerly leached material, some people call those tailings. We think of them little bit differently.Formerly leached materials with an exceptional efficacy on silver and so you know, that model for us is just as exciting as the Mercury opportunity quite frankly, it fits right into the strategy of you know as mine deplete their ore, their tailings and their leach pads grow, their reclamation liabilities grow and half of the silver is trapped in those pads to be reprocessed and the reprocessing not only gets the silver similar to the gold discussion in the mercy but it detoxifies the cyanide wide complex.It takes the contaminated material that makes them organic and captures on the precious metals to profit and to sustain that kind of operation. So he is -- the Mercury is number one on our list. It moved ahead of Dr. Whitney temporarily, but now that the deal is done and we’re moving forward and we’re bringing in a little extra help to do this, because these things are really getting robust.Itronics loose back up into the pole position for lack of a better word, and I can't wait to get back into the discussion and in many ways, the agreement that we forged with MCU and Mercury is -- I mean personal I think it’s a perfect template for working things or similar way with Dr. Whitney of Itronics. So we’re going to pursue that its high on our list we think it’s high in his list and we’re only about a win-win. So we’re highly confident that it’s going to work out.
Unidentified Analyst: May I understand that you are hoping to reach an agreement with Dr. Whitney of Itronics?
Corrado De Gasperis: 100% that is my hope, 100%.
Unidentified Analyst: Very well the material that you would move for the mercury extraction where is that currently residing?
Corrado De Gasperis: So we have some interesting maps that we can show but basically you know the Nevada Department of Environmental Protection showed a hydrological profile of where all the old historic mills on the Comstock were. And how any residual mercury used by some not all of those mills it would have been all the mills prior to 1907/1908 were mercury amalgamators.How that material would have been sort of less residual and then ultimately float down six miles, seven miles cannon towards the Carson river. So it literally primarily Jeff in the waterways from Virginia City down to the Carson River, but it's more than that it’s everywhere where there was a mill that used it it’s sort of left behind. And so there's a map that almost look like a broken heart of the floor of that.In context to us there is a stream that goes right American Flat you know sort of from I would say Northwest to Southeast. And then there is a stream that goes literally North to South from Virginia City right through Lucerne it follows State Route 342 because State Route 342 follows the waterways. So right Virginia City down State Route 342 all the way to 50 so it's literally anywhere between let’s say a half or a foot deep to like six or seven or eight foot deep to bedrock.
Unidentified Analyst: Where would you first begin digging out the material to process for mercury extraction?
Corrado De Gasperis: So if you picture the Lucerne mine some of that area where we rebuilt the road and waterway we would just continue down from there through Heaven's Gate, Frank Butler by Grizzly Hill there under the Dayton consolidated mill right down into the Spring Valley. And then to the North as well you know up by Gold Hill and into Virginia City.But on our property its right where some of them you'll see old tailing doves right and they are recognizable on the Comstock. Some of them you would never know, it's just normal flat curve where testing 2, 4, 6 feet down showed exceeding of mercury residual.
Unidentified Analyst: You intend to do the processing on American Flat?
Corrado De Gasperis: Have to be on a double blind permitted footprint there with full containment yeah that’s the fastest way to get up and running because its already permitted for that purpose.
Unidentified Analyst: Would you physically move the material from its source where it currently is to American Flat?
Corrado De Gasperis: In small trucks, small meaning not mining scaled dump trucks, but.
Unidentified Analyst: Along the roadway?
Corrado De Gasperis: To some degree yeah.
Unidentified Analyst: You would use highway 342?
Corrado De Gasperis: Yeah well it depends where we are as I am picturing some of it we wouldn’t have to do that at all we have to make sure that we have the right permissions in protocols. We have the full protocol though fully and already defined on how do you extract, remediate, haul, cover and transport the materials.So that’s all been fully defined and that the protocol that we use when you're moving the road it is and is commonly known but if we had already built those protocol with the government in 2012 and 2013 we never would have been able to fix that road the way we did. So it was some people say better lucky than good but we were prepared when the opportunity here.
Unidentified Analyst: I must be not understanding you because I remember highway 342 to be transiting Silver City and Lyon County and you've done most of your work with permitting and Story County and the gentlemen and ladies at Silver City are not really happy. They've been quiet for a long time, I grant you. How would you expect to be able to transfer that material through Silver City?
Corrado De Gasperis: So it depends where the material is, right. So there's - I can think of a dozen scenarios where we would be off the road, right. I can think of a dozen scenarios. But I could also think of somewhere beyond on the road. But I guess I have to change the visual. We're not talking about yellow metal, right. We're not talking about caterpillar haul trucks. And we're not talking about 1,000's of tonnes of material.So it's a completely different profile of transport. So some of it will be fully off road, some of it may need the road. I can't - I don't know specific uses of [inaudible] on top of my head. So as we define it, modify it, but we're only going to do what's proper and what's allowed. And I don't see any issues with it, frankly.We're not - the trucks drive by and drive through there all the time, 18 wheelers, all sorts of trucks. I mean, that's - we're talking about street legal activity. And we're talking about cleaning up of mercury.
Unidentified Analyst: Can you expand on what is happening to any of your properties in Gold hill?
Corrado De Gasperis: Yes. So do you mean the mining properties, the mineral properties?
Unidentified Analyst: Negative, the real estate properties.
Corrado De Gasperis: Yes. So the Gold Hill is really just the one crown jewel of the hotel. It is still for sale. It is not really in the central conversation of any material non-mining asset sales. It is running very wonderfully right now and it's profitable for us. So we have a low motivation to push that one.Again, it's small relative to the total $15 million when you look at the Silver Springs properties and the ranch. And we're going to host the annual meeting there. And if I continue back down, maybe we'll be doing on the latter day this year, which would be October 31st. We're going to figure that out this week and announce it very soon. But Dr. Whitney will be there, Paul Cliff will be there. Tona will be there and all these things will be in full stride. So I'm really looking forward to it.
Unidentified Analyst: I would like an invitation to that meeting. I'd also like to ask you about what's happening with the Daney Ranch.
Corrado De Gasperis: The Ranch is still listed for sale. We are in a specific conversation right now with the party that has a specific intended use for it and has arranged what looks like pretty exceptional financing. We don't have an agreement yet, but I think it's probably the best prospect that we've had so far.So we have agreements to sell the industrial and commercial land in Silver Springs. We're in discussions on the Ranch. No motivation/interest on the hotel. I think those are competing points. We're not getting our interest but we're not motivated to solicit them. Any way, we really love the hotel, especially because it's the only one of those properties that's cash positive.
Unidentified Analyst: Does this create any additional opportunities with respect to the opportunity zone, opportunities for Comstock mining, expansion or are the opportunity zones basically fixed at this time?
Corrado De Gasperis: No, so it does create opportunity for us. It hasn't been the highest priority for every reason we've discussed so far. But we are working on it in parallel all of Storey counties and the opportunities are. So obviously the Industrial Center is getting most of that attention with the blockchain guys and all those guys and Google and everybody. But we haven't lost sight of Virginia City. Virginia City is squarely in the zone, as is the hotel, number one.Number two, we are working very-very closely. I will almost want to say 'intimately', with the opportunity on formation. I think I can say intimately we are like engaged fully with making it happen. And we had a few miss starts in part because of revolving guidelines and regulations. It threw some real confusion into the structuring.We like to do things based on knowledge. So it took us a little bit more time with the partners to figure out what the best structures were. There seems to be solid and total alignment on that now. So we're moving forward in terms of getting capital into those funds, and we're going to - it's not certain yet, but I could say pretty confidently.We're going to retain an interest. And that is not going to be 3%. The current agreement has like a 3% kicker on just the properties we're selling. We'd be interested in having a more meaningful interest both economically, of course, but also directively, because we are the most intimate on what's happening here in Northern Nevada and we feel we could add a lot of value.I personally feel I could add a lot of value, I think Comstock as a Company could add value. And so that will create pretty - maybe it's a smaller percentage, lot higher than 3%, but lower than 20% or maybe 10%, something like that. But it could be 10%, it could be 10%, really-really-really big opportunity, not just the assets we're sowing.So that's where we're heading with it. We'll have it known soon here. For me, Tono is taking a lot of calories. I think they've been good calories to productive. And we're not at the end yet, so it's a little frustrating but we're getting there.I don't know if I mentioned earlier as a side note. Tono is getting a lot of traction themselves. They're getting new commitments every week, they've got enough commitments in their book to close it. That's why we modified the deal the way we did, because we want to close it.We're going to move forward positively but they're getting more interest and more interest and I think they're getting real traction and I think it's because they're just putting something that's good together for their investors too. So opportunity zone will be more on the forefront of conversation in the next cycle of discussions, Jeff. And it's going to be, I think, very positive.
Unidentified Analyst: I understand in part the difficulties you've had the time required with Tonogold. I have sent you several articles on the Opportunity Zone potential, which is I think, controlled by the State of Nevada. You've never responded to an article. I have two requests of you. First, have Jack Spencer call me at the conclusion of this call. And secondly, would you move the microphone of your speaker phone closer to you as you do your wrap up. Thank you very much Corrado.
Corrado De Gasperis: Thanks, Jeff, will do so.
Operator: Next we'll hear from Lawrence Danny [ph].
Unidentified Analyst: Thanks for doing such a good job and working so hard. I just have a couple quick questions. One is, the timeframe for getting around to drilling the date, do you have any rough time frame?
Corrado De Gasperis: Yes. I mean, if it was up to my technical team, it would be yesterday. I could tell you that. If it was up to a couple of our Board members, it would yesterday also. But I really think that, honest answer to that is once these transactions are closed and we have discretionary funds in treasury, we know exactly where we want to drill.And so I'd love to say - I'd love to say fourth quarter. Because that would mean we get these transactions done and we have sufficiency of time to plan. But we're also going to have mercury gearing up and landing et cetera. So what I'd like to do is publish the drill plans by then. I'd be very precise on what we're planning to do, and really get some of that stuff started in 2020 in a very exciting way, which isn't that far away.
Unidentified Analyst: This year is zooming by. And the other thing, the other question was, you had explained the mercury percentages, is there an overall percentage that Comstock owns at this [Mercury] partnership?
Corrado De Gasperis: Yes, there's two answers to that, right. One is, we own 25%. That's a simple straight and immediate answer. However, we have the right in the agreement to be 50:50 on any joint venture of that entity for new business, okay. So in theory, we could get 50% directly and then 25% or 50% indirectly, which is [inaudible] of the economics at our choice.
Unidentified Analyst: That sounds great. All of it sounds positive.
Operator: And there are no further questions at this time. I'll turn the call back over to our moderator for any additional or closing comments.
Corrado De Gasperis: Thank you, April. I just want to thank everybody. We made a concerted effort based on specific request of a number of investors that we take all the calls this time. So we ran a little over. I apologize for that. But I think it was well worth it, and we really look forward to keeping you updated much more frequently as we move forward here certainly in September. So we look forward to talking soon and thank you for your time. Thanks, April.
Operator: That does conclude today’s conference. Thank you all for your participation. You may now disconnect.